Operator: Good morning Ladies and gentlemen, and welcome to the Molina Healthcare Fourth Quarter and Year-End 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ryan Kubota, Director of Investors Relations. Please go ahead, sir.
Ryan Kubota: Thank you, operator. Hello, everyone, and thank you for joining us. The purpose of this call is to discuss Molina Healthcare's financial results for the fourth quarter and year-ended December 31, 2017, and preliminary guidance for the full year 2018. The company issued its earnings release reporting 2017 results and full year preliminary guidance yesterday after the market closed, and this release is now posted for viewing on our company website. On the call with me today are, Joseph Zubretsky, our President and Chief Executive Officer and Joe White, our Chief Financial Officer. After the completion of our prepared remarks, we will open the call to take your questions. If you have multiple questions, we ask that you get back into the queue, so that others can have an opportunity to ask their questions. Our comments today will contain forward-looking statements under the Safe Harbor Provisions of the Private Securities Litigation Reform Act. All of our forward-looking statements are based on our current expectations and assumptions, which are subject to numerous Risk Factors that could cause our actual results to differ materially. A description of such Risk Factors can be found in our earnings release and in our Reports filed with Securities and Exchange Commission, including our Form 10-K Annual Report, our Form 10-Q Quarterly Reports, and our Form 8-K Current Reports. These reports can be accessed under our Investor Relations tab of our company website or on the SEC's website. All forward-looking statements made during today's call represent our judgment as of February 13, 2018, and we disclaim any obligation to update such statements except as required by the securities laws. This call is being recorded and a 30-day replay of the conference call will be available at our company's website, molinahealthcare.com. I would now like to turn the call over to our Chief Executive Officer, Joe Zubretsky.
Joseph Zubretsky: Thank you, Ryan, and thank you all for joining us this morning. This quarter's results reflect a significant transition we are undertaking here at Molina. The disappointing contract losses in New Mexico and Florida, and the related goodwill impairment charges, the continued expenses for restructuring and the cash up adjustments related to the poor performing marketplace business are all legacy issues that we believe are now behind us. The performance of the core business however, which we define as a Medicaid and Medicare was respectable and when viewed on a run rate and full year basis provide a solid baseline from which to achieve our margin recovery and sustainability plan. We are squarely focused on improving our operating margins and creating an earnings profile that is less volatile and more sustainable. Only when we have accomplished this, we'll be able to reap the full benefits of this franchise, with its strong revenue base, across well diversified geographies and product lines. This morning, I will be discussing the sustainability of our revenue base, the key operating and financial results from the fourth quarter and the full-year and connecting them to our 2018 preliminary guidance, and to the vision that I provided at a presentation to investors last month. First, with respect to the disappointing news related to the re-procurement of our Florida Medicaid contract, we are taking urgent and focused actions to secure this revenue base. Today, we operate in 8 of 11 regions throughout Florida, serving approximately 350,000 Medicaid members, with $1.5 billion of annualized revenue. The entire state is currently up for re-procurement, effective January 1, 2019. As we announced last week, we have been selected to negotiate to the award of a managed care contract in only one region of the state, that region, Region 11 comprises Miami-Dade at Monroe County, where we currently serve 59,000 Medicaid members. This outcome posted significant challenges, as a first step, we will do our best to secure contract at Region 11. Beyond that we will pursue the various protested appeals as appropriate. In New Mexico, we were surprised last month that the state chose not to invite us into the next round of the re-procurement process. Our New Mexico health plan has a long history of offering high quality service to our members. Upon review of the procurement materials made available, we have concluded that our re-procurement loss was primarily based on the rating factor in the bid and not the service aspect of the bid. With that back in mind, we are currently working to the appeals process in an effort to retain this business. That said, if the current decisions regarding our Medicaid participation in either Florida or New Mexico stand, they would have a significant negative impact to the company's revenue. Although our Florida and New Mexico health plans have been unprofitable in 2017, to say that their loss is therefore not challenging, would ignore the more significant issue. The lost opportunity of returning those health plans to profitability is of serious concern. Our plan with respect to Florida and New Mexico is as follows. First, it is critical that we manage our 2018 operations in both states to achieve our 2018 plan. We will launch the appropriate protested appeals necessary to ensure that we have exhausted every avenue available to us for retaining these contracts. If the outcome of these RFPs proves to be unsuccessful, we will transition our operations in an orderly fashion and in a financially responsible way and then we will adjust our cost structure accordingly to mitigate any percentage margin impact on the consolidated enterprise. The long-term headwind therefore is not against our target margin percentage, but against the absolute value of operating profit we can achieve. We are particularly sensitive to this situation, as we prepare for two other near terms re-procurements, Texas and Washington where we will compete vigorously to win. We have always taken major steps to improve our RFP response process to better articulate and present the Molina value proposition. First, we have marshaled more internal and external resources to support both efforts. We have engaged a broader and deeper array of very senior subject matter experts, clinical, operational, regulatory and financials. We have infused more local market knowledge into the process and we have retained outside experts in Medicaid procurement to pre-score our proposals and conduct marked reviews. While this may sound like we are blocking and tackling, it is precisely these technical qualities that are the foundation for successful bid. The combination of a well-executed proposal leverage with our deep community ties and long history of quality servicing in these states and our two recent wins in Washington give us confidence in successful outcomes. Now turning back to our earnings, we reported a net loss for the quarter of $4.59 per diluted share and $9.07 for the full year. Looking more deeply into these unacceptable headline numbers, I would like to call out three important dimensions of our fourth quarter and full year performance. First, we incurred $342 million for the quarter and $704 million for the full year of impairment and restructuring cost. Second, we experienced poor marketplace performance as demonstrated by a quarterly medical care ratio of 102.1% for the fourth quarter and 88.1% for the full year. Our product that should run at 78% or below based on 2017 pricing. Finally, looking over the entire year and stripping away a number of legacy items, we were able to develop a clear view of the underlying earnings base of our core business. I would characterize that underlying earnings base as stable. Allow me to spend a little more time in each of these dimensions. First, the impairment charges were the result of the unfortunate combination of expensive legacy acquisitions giving rise to significant intangible assets and the unsuccessful re-procurements relating to those same geographies. Relatedly, the restructuring charges were the result of the company growing its cost structure beyond its profit capability and this lack of discipline has now been corrected with improved monitoring and control. Second, with respect to the marketplace, we have taken significant actions to improve performance in 2018, as well as to reduce our overall exposure to this business. Specifically, we had implemented premium increases averaging 59% effective January 1, 2018. Those premium increases included a 20% increase for the absence of federal funding of CSR subsidies and a further 39% increase for medical cost trend anti-selection risk, demographics and a variety of other rating factors. These price increases along with our market exists in Utah and Wisconsin have resulted in substantially lower membership. So in response to our marketplace challenges, we have increased premium rate significantly, eliminated our exposure to uncertainties around CSR funding and reconciliation and priced up with the full expectation we will reduce our overall membership. Finally, the fourth quarter performance in our core business was respectable. Our medical care ratio excluding marketplace, declined 210 basis points to 88.8% when compared to the third quarter of 2017, reflecting decrease inpatient utilization as compared to the third quarter. This improvement was achieved despite an increase in flu related cost estimated to be $20 million. Looking at 2017 on a full year basis, it is important to remember that our medical care ratio of 90.6% is burdened by substantial unfavorable out of period or nonrecurring items. These include approximately $150 million of unfavorable prior period claims development and another $90 million of unfavorable marketplace items, most notably the lack of CSR reimbursement in the fourth quarter. Absent these items, our medical care ratio for 2017 would have been approximately 89.3%. In that context, I would like to provide some commentary on our core business portfolio. Looking at our core business by product line for the full year 2017, TANF represented approximately 40% of our total Medicaid revenue and had a medical care ratio of 92%, which was above our 2017 target of approximately 90%. Improving profitability for this product will require more effective utilization controls and care management, particularly with respect to High-Risk Pregnancy, reducing unit costs of high cost providers and more effective rate efficacy. Our Aged, Blind and Disabled product represents approximately 37% of our total Medicaid revenue, and had a medical care ratio of 94.7% for the full year. As oppose to our 2017 target of approximately 91%. Keys to improving ABD performance include, improved care management in coordination of services for high acuity populations focusing on the integration of behavioral and physical health services, targeting high risk members for care management intervention and more comprehensive documentation of medical conditions and improved management of community and other long-term care services for members in this product line. Expansion represented 23% of our total Medicaid revenue and at a medical care ratio of 84.9%, which was above our 2017 target of approximately 83%. Expansion continues to contribute favorably to our overall profitability and was responsible for approximately 40% of our total Medicaid medical margin for 2017. While premiums and margins for expansion have been declining in recent years, the rating environment appears to have stabilized. States generally look at rate adequacy holistically across all of Medicaid. Strategically this product may be an important companion product to our marketplace business as certain states contemplate merging the two markets. In 2017, Medicare and MMP combined generated approximately $2 billion of revenue, and had a medical care ratio of 88.4%, which was below our 2017 target of approximately 92%. These products are important because they present opportunities for the integration of care, on an even more comprehensive basis that is the case with many of our ABD members. The MMD [ph] plans in particular provide the opportunity to demonstrate that all aspects of care behavioral health, physical health, and long-term care services can be delivered more efficiently through managed care. As I presented to investor last month, we have a very well diversified geographic portfolio, the majority of which is already operating at our target margin level, and the minority of which is profitable, but below target and the remainder unprofitable. Moving from a product line our company to a geographic view, I have the following commentary. Of our four largest health plans that generated over $2 billion annually in core business premium revenue, three California, Ohio, and Washington operated at medical care ratios that were at least 200 basis points below our consolidated core medical care ratio of 91%. Texas is the fourth of our health plans with core business revenue over $2 billion has a heavy concentration of members receiving long-term care services, which explain why its core medical care ratio of 92% exceeds the company's overall average. These plans are operating at target margins have long tenured and experience management teams, excellent product diversification mix and excellent standings in the respective states. Although it is midsized I would also include Michigan on this list of well performing plans. Our underperforming plans Florida, New Mexico, Puerto Rico, and Illinois are under intense review for performance improvement, irrespective of their re-procurement status. New Mexico's performance improved in the last half of 2017, and is projected to be the marginally profitable in 2018. Florida's issue largely stem from aggressive marketplace membership growth in 2016 and 2017, that combined with Medicaid challenges over taxed many core operations. With its reduced marketplace profile in 2018, combined with our improvement initiatives already in flight this business should improve. Puerto Rico's performance, and that of the entire Island was impacted by the hurricane as utilization abated dramatically and then bounced back. In the back half of the year performance stabilized, and to note the entire Island will be re-procured this spring. In Illinois we had significant unfavorable prior period development due to a variety of issues. In 2018, with a new state wide contract we will start the year with a slight premium revenue increase. We are working toward rebuilding relationships with the providers in the central part of the state, as we reenter those areas at the beginning of the year. Our fourth quarter SG&A ratio of 7.4% represented a 20 basis point decline from the third quarter, and was 60 basis points lower than the full year ratio of 8%. This improvement reflects the actions taken in 2017. The tighter controls in productivity standards that we've implemented will ensure that our costs stay in line with our revenue base. And we expect to continue to find additional savings above the $235 million we have already announced. Moving on to the subject of capital management, enhancing our balance sheet and staying capital disciplined are also key parts of our plan. We took a number of steps in this regards during the fourth quarter. We strengthened our liability for medical claims, marketplace CSR and risk adjustment. In December, we repurchased the portion of our 2044 convertible debt in exchange for equity. This transaction enabled us to lower our total debt to capital ratio by approximately 5 percentage points, while also allowing us to release for general purposes approximately $157 million of restricted cash. Finally, we entered into a bridge loan that will provide funding in the event that our $550 million face value of convertible notes, due in February 2020 are presented to us. While we think it is unlikely that those note will be presented to us in the near future, we concluded that it was important to may gain this risk. Our total debt ratio remains too high, and we will continue to delever and improve our overall capital structure to achieve our target. I turn now to the preliminary 2018 guidance. We describe this guidance as preliminary because of the inherent uncertainty around achievement and timing of our numerous profit improvement initiatives. While these initiatives extend across the various dimensions of managed care fundamentals that I described to investors last month, many are in the early stages of development and implementation, and therefore not included in guidance. Therefore, our guidance should be viewed as preliminary estimate of what we expect to achieve until we see the profit improvement from these in flight initiatives manifest themselves in the earnings stream. Once we have the benefit of first quarter earnings, and further insight into the execution of our profit improvement initiatives, we will be able to update you with the firmer view of our guidance. To provide for an appropriate amount of execution risk, our preliminary guidance has therefore been developed with appropriately conservative views of medical cost baseline in 2017, medical cost trend for 2018, potential rate increases and retained amounts of revenue at risk, and the turnaround of the marketplace business until we can observe the achievement on the margins implicit in our 2018 pricing. With that said, our preliminary guidance is as follows, for 2018 on a preliminary basis, we expect earnings per diluted share to be in the range of $3 to $3.50 on a GAAP basis. We expect premium revenue to decrease from $18.9 billion to approximately $17.5 billion. The vast majority of this decrease is driven by lower marketplace enrollment, which is only partially offset by higher premium rates. Our preliminary guidance anticipates that marketplace membership will begin the year at approximately 450,000 members from 815,000 at December 31st and decline to approximately 300,000 members by the end of 2018. We expect our 2018 medical care ratio to be approximately 89% compared to the 90.6% medical care ratio, we reported for 2017. Although, our preliminary guidance takes a cautious view of the medical cost improvement in 2018, we expect our 2018 performance to benefit from an absence of the unfavorable prior period claim development we experienced in 2017. That unfavorable prior period claim development in 2017 amounted to $150 million. We expect to manage our administrative cost ratio to approximately 7.3% for all of 2018. This reflects the full year run rate value of the $235 million of savings that we announced last month as part of our restricting efforts. We will update you with a firmer view of our 2018 preliminary guidance on our first quarter earnings call and at our Investor Day. I have also spoken about the need to bring additional talent into our company, while we have many talented leaders at Molina the regress demands of our turn around require that we continue to assess our talent needs across the company and expand our leadership team. Mark Caim [ph] our new Executive Vice President of Strategic Planning, Corporate Development and Transformation, will be the chief architect of our continued restructuring and will lead the analysis of the business portfolio and work to unlock value in all of our major vendor and ancillary cost contracts. Mark's years of recent experienced with [indiscernible] where he performed similar activities will surely create a significant amount of value. I would also like to announce the hiring of Pam Sedmak, Executive Vice President of Health Plan Operations. Pam will be responsible for health plan operations, turning around the underperformers, solidifying our re-procurement efforts and executing on margin recovery and sustainability plan across the fundamentals of managed care. Pam has a long and successful career of managed care particularly in her role as President and CEO for Aetna Medicaid where she oversaw 17 health plans, whose Medicaid business achieved over $9.5 billion in premium revenue. Most recently, Pam was a Senior Advisor at McKinsey & Company servicing clients in the healthcare servicing space. In closing, I am excited about 2018, and I look forward to providing more details on our longer term strategic plans during our Investor Day on May 31st in New York. With that, I will turn the call over to Joe White for more detail on the financials.
Joseph White: Thank you, Joe and hello everyone. Yesterday we reported a net loss for the quarter of $4.59 per diluted share, and a net loss of $4.52 per diluted share on an adjusted basis. As Joe mentioned, embedded in these results are several significant items outside of our normal operations that were in further discussions. First we took a $73 million charge as a result of the federal government's decision to stop paying cost sharing reduction rebates or CSRs to health plans beginning in the fourth quarter of 2017. To be clear, we believe we are legally entitled to those payments and will pursue all available means to collect them. We recorded a further charge of $50 million to increase liabilities for marketplace risk adjustment in CSR that related to the first nine months of 2017. Our marketplace premium deficiency reserve was reduced to zero as of December 31, 2017. This was a $70 million benefit in the quarter. We recognized approximately $20 million in incremental flu costs in the quarter. We recognized $269 million of non-cash impairment losses at our Florida, New Mexico and Illinois health plans. The impairments at Florida and New Mexico was a result of our recent contract losses. The Illinois impairment is purely an issue of historical costs. While we are confident that we can improve profitability in Illinois so that it is a meaningful contributor to our company that current profit profile of the health plan does not support the purchase prices paid for certain membership years ago. We recognized approximately $73 million of restructuring costs in the fourth quarter of 2017. In the fourth quarter we also incurred approximately $14 million in expense related to the exchange of equity for $141 million of face value of our 2044 convertible notes. Finally, we recognized approximately $54 million in additional tax expense during the fourth quarter due to the re-measurement of our deferred tax assets as a result of the Tax Cuts and Jobs Act of 2017. It is important to keep the transitory nature of these items in perspective as we continue to evaluate the business, through the lens of the margin recovery and sustainability plan that we announced last month. A full understanding of our underlying business requires that we look beyond the disappointments of our 2017 marketplace performance. The items I outlined a minute ago, and the $150 million of unfavorable prior period development that we experienced in 2017. As Joe noted, we have five large health plans California, Ohio, Washington, Texas and Michigan that are operating at target margins. Additionally, several of the health plans have good prospects for ultimately achieving their target margins. We also saw continued administrative cost improvements in the fourth quarter. The quarter benefited from about $60 million of the annualized administrative cost savings of $235 million that we achieved in 2017. Let me now take a few minutes to discuss our marketplace performance during the quarter. First and keeping with our commitment to resolve legacy issues, we booked a $73 million expense for the termination of CSR reimbursement in the fourth quarter. As I said a moment ago, we believe that we are legally entitled to these federal payments and we will pursue all available means to collect them. We also recorded $50 million of marketplace risk adjustment in CSR expenses related to the first three quarters of 2017, as a result of updated third-party data that we received during the fourth quarter. As a reminder, the estimates we book for risk adjustment are a result of our own member risk scores measured against those of the overall market. The blending of estimates for both our owned and peer performance is necessary because the final true-up for risk adjustment is based on our performance relative to our peers. After the change in CSR and risk adjustment estimates, the $70 million premium deficiency reserve, we accrued at September 30th for our fourth quarter performance would have been adequate. As Joe noted earlier, we have taken significant actions to improve marketplace performance in 2018, as well as to reduce our overall exposure to this aspect of our business. We believe that our more robust pricing in 2018 will lead to improved financial performance for our marketplace product. And keeping with our focus on enhancing our balance sheet and improving our capital management discipline, we have made it a priority to closely manage our subsidiary capital position and dividend excess statutory cash to the parent company when possible. In the fourth quarter, we were able to dividend approximately $150 million, up from our subsidiaries and as of December 31, 2017 the company had cash and investments of approximately $695 million at the parent. In addition, our days and claims payable at December 31, 2017 increased sequentially by four days to 54 days, approximately two days of this four day sequential increase were due to the timing of provider payments, while the remainder was a result of our strengthening of claims reserves. Finally, I will add a few additional thoughts related to our 2018 preliminary guidance. As Joe said a few minutes ago, to provide for an appropriate amount of execution risk, our preliminary guidance has been developed with appropriately conservative views of medical cost baseline in 2017, medical cost trend for 2018, potential rate increases and retained amounts of revenue at risk and the turnaround of the marketplace business until we can observe the achievement of the margins implicit in our 2018 pricing. Our 2018 preliminary guidance anticipates that our Medical care ratio for the full year of 2018 will be approximately 89% compared to 90.6% for all of 2017. It is important to remember, that our 2017 medical care ratio was burdened by approximately $150 million of unfavorable prior period claims development and a net $98 million of unfavorable impact from various marketplace CSR risk adjustment and premium deficiency reserve items. Absent these items, our medical care ratio for 2017 would have been approximately 89.3%. The relatively small improvement we are anticipating in our medical care ratio when compared to an adjusted 2017 medical care ratio reflects the conservatism built into our preliminary guidance. For example, we have taken a conservative position on the turnaround of the marketplace business by adding an appropriate level of contingency for not realizing the margins implicit in our pricing. Looking beyond 2018 preliminary guidance, here are some important facts regarding what we know about our marketplace product today. We priced to a pre-tax margin of 4.6% and a medical care ratio of 65%, this compares to a pre-tax margin of 3% and a medical care ratio of 78% that was priced in 2017. Approximately 70% of 2018 members are renewals from 2017. Acuity of our 2018 membership appears to be within our pricing expectations. In general, 2018 marketplace membership appears to be tracking with our 2018 pricing, which would represent substantial improvement over 2017. Nevertheless, due to the volatility we experienced in 2017, we are taking no credit in our preliminary guidance for marketplace improvements until such improvement manifest themselves in our results. SG&A costs are expected to drop by approximately $200 million in 2018, broker and exchange fees associated with our marketplace products are expected to drop by approximately $150 million. The costs savings taken out of accounts [ph] in 2017, will reduce cost by another $160 million on top of the $75 million already recognized in 2017. These savings will be partially offset by a replenishment of our variable compensation and employee merit increase pools in cost associated with new activities such as our Mississippi and Idaho startups. We have received a significant number of questions relating to our share count and our effective tax rate. We have observed that there is a wide range in estimated share count for our company as well as a wide range in estimates of our effective tax rate for 2018, with that mind let me share the following assumptions that underlie our 2018 preliminary guidance. First our preliminary guidance assumes a diluted weighted average share count of 67.3 million shares and is based on a share price of $100 per share. This share count maybe higher than what some of you are expecting, it is primarily the result of the diluted nature of our convertible debt at higher share prices. For example, our convertible debt is not dilutive at a share price of $55, but at a share price of $100 that same convertible debt will add about 7.4 million shares to our diluted share count. As a further example, at an average share price of $80 for the year our diluted share count would be 65 million shares, at an average share price of $120 our diluted share count for the year will be 68.8 million shares. Regardless of the assumptions you make around the dilutive impact of our convertible notes please remember that we issued 2.6 million shares as part of our exchange of equity for $141 million of face value of our 2,044 convertible notes last December. These additional 2.6 million shares should be included in our share count regardless of assumptions you may make around dilution cost by our convertible debt. Second as many of you know, our effective tax rate is higher than the federal rate of 21% due to the non-deductibility of several items, but most notable the health insurance provider fee. Regarding the impact of tax reform the preliminary guidance effective tax rate of 41% to 43% would have been approximately 64% based on our 2017 tax rate. On another note, our 2018 preliminary guidance assumes that state Medicaid agencies will reimburse that in four for both the ACA health insurance provider fee and the tax impact of that fee is non-deductibility. Even if all Medicaid agencies ultimately reimburses for that fee, we will not be able to recognize the added revenue until we receive assurances from those agencies that the fee will indeed be reimbursed. Any delays in receiving such assurances will result into late recognition of the related revenue, which would sharply reduce our earnings until such assurances are received. Please keep this in mind as you assess our quarterly earnings reports in 2018. Finally, our 2018 preliminary guidance does not contemplate any restructuring charges. Cost and benefits associated with our restructuring activities in 2017 are now captured in our 2018 run rate. While we may undertake further restructuring activities in 2018 and beyond the cost associate with those activities have not been fully scoped. While we can't say with certainty that we will not incur additional restructuring charges in the future, we have not contemplated additional charges in our 2018 preliminary guidance. As a reminder, we will be providing additional detail about our margin recovery and sustainability plan in preliminary guidance on May 31st in New York City. This concludes our prepared remarks. Operator we are now ready to take questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Sarah James of Piper Jaffray. Please go ahead.
Sarah James: Thank you. And I appreciate all of the detail about 2018 guidance. But there is a couple of pieces that I was hoping to get more clarity on tax reform benefit how much is the net on that? How much turnaround savings is assumed if we assumed flat, is there is still a drag from Pathways and then on tax, you previously talked about it and [indiscernible] similar admin cost but now it sounds like it may be offset by comp changes. So how should we think about the health contribution changing? Thank you.
Joseph White: Hi, Sarah, its Joe White, we struggled to hear you, could you ask those questions one at a time please? Thank you. Good morning by the way.
Sarah James: Sure, good morning. So, just trying to look through a few of the moving pieces on guidance that weren't spiked out, the one being tax reform, how much benefit how much benefit realized on tax reform?
Joseph Zubretsky: Sure, hi Sarah, its, Joe Zubretsky. On tax reform, if you just look at the 35% statutory rate versus the 21%, it created a $59 million benefit to our 2018 guidance, which is about $0.87 of earnings per share. I will remind everyone that as we either exceed our plan or missed it for every dollar of earnings above or below our marginal tax rate is 21%. And the reason our guidance is at about 42% is the result of a non-deductibility of the HIF. Another question we are often asked is did we change our spending outlook for 2018 because our rates were set, when tax rates were 35% versus 21%. And I would say, no, we had a plan in place of our margin recovery and sustainability plan, it does require investments to be made. Those investments were fully baked in our SG&A roles for 2018 and we did not change the course of that spending as a result of the new tax rates.
Sarah James: Thank you. And the other moving piece I was hoping you could spike out flu if there is any change from 2017 to 2018 on your assumptions there. The Pathways which has been a drag in the past if it assume to continue and then exchanges in the past you have talked about there being a tailwind from a lower admin load. I'm not sure if that still assumed going forward.
Joseph Zubretsky: With respect to flu as we said we recorded our $20 million top up to our fourth quarter. As we observed pharmacy and physician cost higher than normal particularly in the CTC Hotspots. I would tell you that that trend continued into January, pharmacy and physician costs were higher than normal due to the flu season that we are experiencing and others are as well. With respect to Pathways and our other sort of non-core subsidiaries, I mean say the earnings picture is just not material. It's stable, they're performing well, and it's just not a material part of the story.
Sarah James: Got it. And one more clarification if I could and then I'll hop off, you talked about unwinding Florida if the appeals are not successful. How long should you think about that taking. So how much time to get the SG&A overhang if no matching revenue if the appeal in Florida is unsuccessful?
Joseph Zubretsky: Sure, if we are unsuccessful in Florida and or New Mexico then we have a plan in place where we will try to transition our service profile in those states and in orderly fashion. Whether we transition it to another incumbent or new player or whether we just educate ourselves entirely. Obviously, when the revenue stops on January 1st, you still have a claims tail to service, you still have member calls that need to service. And so we'll have to hold on to part of the operating platform for the tail period. But we're not going to let the administrative costs and bringing those plans and runoff be a drag on our earnings. We'll have to educate ourselves quickly, but there would be a slight drag on 2019 as we work the claims tail off.
Sarah James: Thank you.
Operator: The next question will be from Justin Lake of Wolfe Research. Please go ahead.
Justin Lake: Thanks, good morning. Few questions here, just wanted to start off on the marketplace. You talked about the membership numbers and the pricing. So the math should be pretty straightforward there, but I want to make sure I got it right. I think your revenue was about $3 billion in premium in 2017. Can you give us the number there for 2018? Is it around $2 billion? And then it sounds like that you said there was no improvement assumed in terms of the economics on the margin. And I think you lost about $100 million plus for 2017, is that the right ballpark for 2018?
Joseph Zubretsky: Yes, Justin the revenue number for 2018 contemplated in our guidance is about $1.5 billion. And you have the pricing right. I mean obviously at 102.1% for the quarter 88% for the year against a target of 78%. We lost money in the marketplace this year. The way I would characterize our guidance is we cleared the clutter around 2017. Obviously getting the one timers behind us getting a cleanse claims view of the 2017 run rate projected forward our pricing at the 4.6% target margin. But until we see the effects of our profit improvement initiatives and that pricing take hold in the market, we did not include a lot of that turnaround benefit in our guidance. We need to see it emerge in the first quarter before we firm up our guidance for improved market place performance.
Justin Lake: Okay. So the $1.5 billion of premium just sound a little bit low relative to the declining membership and then adding in a 50% price increase, am I missing something there or is it geographically bias to some of the lower premium states?
Joseph White: Justin, its Joe White speaking, there are a few issues that play there, one would be the shift downward to bronze relative to sliver, the other would be geographic matter as we continue to see rather proportion stronger enrollment in Texas.
Joseph Zubretsky: Also bearing in mind that…
Justin Lake: Okay.
Joseph Zubretsky: We always project a 2% monthly decline in membership, so while we are starting the year at 450,000 it's going to end the year at about 300,000 at least in our project.
Justin Lake: Okay. And then just it staying on premium guidance for a second, premium guidance going to be - it looks like it's down about $1.5 billion when you adjust for the reclassification of some of the HIF collection or I should say the HIF collection. So that makes sense to your point the marketplace is a big part of that, but beyond that it doesn't seem like there is any organic or same store growth assumed in there and I would have thought there would be 2% to 3% which should add up $500 million to growth there. Am I - is there any offsets or any other bad guys when you think about besides marketplace? Or we just assuming kind of not much in the way of organic kind of same contract growth in 2018?
Joseph Zubretsky: So, Justin, we have slight Medicaid membership decline particularly in Michigan with an after profit are taking share. In Ohio where we run into some redetermination issues, slight not a lot but enough to matter in the bridge year-over-year. Our Medicare is up slightly we are holding on to our membership and getting good rates. And we do have two new markets, we have [indiscernible] and Idaho and the inception of our Mississippi TANF contract, which will begin in October of this year, and that's of $200 million all in. So Medicaid membership, a little bit of a slip two new market entries and Medicare is growing nicely to the rates.
Justin Lake: Okay. If I could just ask one more numbers question, I think Sarah asked around flu, is there a dollar number you can give us Joe in terms of what you think we could be looking at here relative to last year in terms of flu cost in the first quarter? Thanks.
Joseph White: Honestly not yet. We just closed the books, just literally within the past few hours and we've intentionally looked at the underline trends in pharmacy and physician, which is where we need to look and while we know we're experiencing a higher than normal flu season continued in 2018, I really can't peg a number for you right now Justin.
Justin Lake: Thanks.
Operator: The next question will be from Matt Borsch of BMO Capital Market. Please go ahead.
Matthew Borsch: Hi, thank you. If I could ask about, Joe, your view on margin levels and I know you have your preliminary guidance out for 2018 and we appreciate getting that, I'm not looking for guidance for another year. But when you think about the net margin that we see it say peers companies it's a little above 2%. Is that structurally a place that you think Molina can get to overtime because prior to this year the trailing or trailing five year average is something like 0.5%? It just seem that there is us then a structural barrier to getting to the margins that are comparable to peer companies?
Joseph Zubretsky: Well Matt, I appreciate the question, but no I really don't think there are any structural impediments in our portfolio. As I said to investors last month, this is clearly a question of performance and not a question of portfolio. We have many high performing plans, we need to fix the hotspot. As I said in my prepared remarks all of our products are just running slightly north of where they need to be to hit their target margins. And you can book inside the numbers and you can go around sort of the wheel of performance in terms of what you need to do with your network, what you need to do with utilization controls. What care management protocols for high acuity populations, holding on to more of our revenue at risk. As I said to investors last month, we are holding on to fewer dollars of revenue at risk than we think our competitors are, we need to get better on risk scoring and quality scores to hold onto the quality withholds that the states hold out to. So I clearly believe it's a question of performance and if we look at the fundamentals of managed care, on a mix adjusted basis, I still feel confident in saying we can get to the competitors range of 1.5% to 2% after tax.
Matthew Borsch: That's great, thank you. And also just one more if I could. I don't - I may have missed it, did you touch on your diagnosis of the reasons for the downsizing of the Florida arrangement?
Joseph Zubretsky: The reasons that we lost?
Matthew Borsch: Yes, yes, sorry. Yes, I know you touched on New Mexico, I didn't hear Florida?
Joseph Zubretsky: Well, we touched on New Mexico, we actually have the scoring and we're able to conclude pretty much that it was rates and not service and technical capabilities. In Florida, we have not seen the scoring yet. As part of the process, we will get the scoring, we'll analyze it and then structure our appeal or protest around the scoring parameters.
Matthew Borsch: Thank you.
Operator: The next question will be from Chris Rigg of Deutsche Bank. Please go ahead.
Chris Rigg: Good morning. Just wanted to get some clarification on the cost savings from the restructuring plan that are in 2018. It sounds like the run rate savings achieved by the end of 2017 were 235, I mean, you are expecting $160 million to be realize this year with the delta being realized last year. Is that correct and do you still think you're going to get the $300 million to $400 million target by the end of the year - run rate target?
Joseph Zubretsky: Those numbers are correct, $15 million in the third, $60 million in the fourth for a total of $75 million and incremental of $160 million for 2018. And bear in mind, when Joe and his team put out that longer-term target, that was not merely SG&A savings, but were cost structure savings across all the dimensions of managed care including network and care management. And yes, if the 1.5% to 2% after tax margin and EBITDA margins north of 5% are in our future, which we predict they will be. Then yes we have to achieve those types of cost savings over the next two years. And as I mentioned previously, we have not included many of those cost structure improvements and performance improvement initiatives in our 2018 guidance, we'll wait to see them emerge, before we adjust our guidance accordingly.
Chris Rigg: Great. And then along the same lines, in your prepared remarks you have noted that you guys are in the process of retaining several subject matter experts to help you with upcoming re-procurement and maybe to even do a look back analysis on the state's rate and win. Are those people that should be employed full time by Molina, are these people probably like industry standards that normally are consultants? And then are the costs associated with these experts in the guidance or are these can be treated as one-time items? Thanks.
Joseph Zubretsky: The - all the costs are in the guidance. And yes, because these proposals are in flight, we decided to add to the complement of resources, we have internally with outside resources. But ultimately if we are going to turn-on the new business and the re-procurement machine permanently, begin growing again after we return to our target margin profile then yes, we will build internal teams that are capable of routinely winning re-procurements and new bids. So because that were in flight we went outside, but ultimately they need to be built inside.
Chris Rigg: Great, thanks a lot.
Operator: The next question will be from Peter Costa of Wells Fargo Securities. Please go ahead.
Peter Costa: Good morning. And hi Joe welcome back to the earning conference calls. I wanted to ask you couple of questions. So first one is just, you have done a lot of talk about the MLRs for the marketplace business, but if we exclude the marketplace business and look at all the rest of the businesses is your expectation to get to the 89% loss ratio that the MLR will improve or decrease for that business or will it get worse?
Joseph Zubretsky: Well if you look at and again, 2017, very noisy year, and so you have to sort of clear the clutter on 2017 where the reported MCR consolidated was 90.6%, 130 basis points of which was prior period development. When you started looking in at the detailed product lines, TANF reported at 92%, ABD 94.7%, Expansion 84.9%, and so on and so forth. You can pro-forma and project network contracting, retaining more revenue, better utilization controls in care management to get to our 89% and beyond. So we were very cautious on 2018 guidance not to include the results of those performance improvement initiatives, but they are in flight and we expect them to work. But because of this company's past history of execution we were hesitant to put them in our guidance are very comparable with the approximately 89% for 2018. And when we see our performance initiatives manifest themselves in earnings, we would just accordingly.
Peter Costa: So beyond the prior period development going away, you're not expecting necessarily for that other rest of the business to improve, is that correct?
Joseph Zubretsky: Yes, that's a good assumption. Our guidance for 2018 is just slightly better than the pure period for 2017.
Peter Costa: Okay. And then moving on Joe, you've come from a background with having seen far more advanced systems. How difficult will it be to get Molina's systems to the point where you need them to be, so that you can avoid fighting hotspots and instead be proactive and be sure of the performance you have going forward.
Joseph Zubretsky: Very logistic question and you're right. In this business, this is an information business primarily, and the veracity and velocity of medical cost trend information is critical to the life blood of a well-managed, managed care company. The systems here okay, we have many sources of data warehouses that create good medical insights. We have an actuarial community that I believe is very, very good. We can get better, and the investments needed to create higher velocity and more veracity of information are baked into our plans. And I think as part of our margin recovery plan we contemplate getting better information on a real time basis and reacting to the trends that are emerging in the marketplace more quickly than this company has reacted in the past. I'm running this organization a lot flatter. And I'm closer to 13 health plans than the predecessor management and with Joe and his team, Pam Sedmak on board, we're going to make sure that we serve the emerging trends more quickly and react to them on a more real time basis.
Peter Costa: Thank you.
Operator: The next question will be from Dave Windley of Jefferies. Please go ahead.
Unidentified Analyst: Hi there, it's Dave Saddle [ph] on for Windley. Thanks for the questions and welcome over Joe again. Want to just to come back to comments that you made at a prior conference kind of laying out the 1.5% to 2% in our debt margins. I'm just curious do you have an updated view of that considering the negative fixed cost leverage that comes from the unexpected New Mexico and Florida RFP headwinds. Does that changed or picking about getting to those margins or perhaps the timing of being able to do that in the one to three year target that you previously talked about?
Joseph Zubretsky: Sure, Dave. Whatever we thought we were going to achieve. And I still believe 1.5% to 2% is achievable. Obviously if there is some stranded fixed cost as a result of withdrawal from a market or two that would create a headwind. But as we've analyzed this, I don't consider any cost to be fixed. Obviously the variable costs of the plans operating the plans are easy to identify and educate. Variable's very easy to identify and we're going to right size the enterprise to the new revenue base. And so the headwind in my opinion is not in the percentage of target margin, but in the actual dollars of underwriting margin and operating profit will produce, which to some extent has been compromised if we lose these two contracts. So no, I'm not backing off the long-term margin percentages. Although, if there are fixed costs that need to come out and it becomes stranded, then we just need to work hard to get them out.
Unidentified Analyst: Okay. And just to be clear, is that target range excluding upside from tax reform or not?
Joseph Zubretsky: Yes, we haven't updated our long-term view, because as I've said publicly it's not clear to me and while there is no specific past line item in the rate development in state contracts whether states at least contemplate or consider the new tax regime as they structure rates on the various rating factors it's not clear to be that - it's not going - rates are not going to settle back to the after tax margins that we are seeing today. And until we see that prove out, I am not going to increase the target, but certainly there would be upside if the rating environment does not consider the new tax regime?
Unidentified Analyst: Right. Got it, okay. And then apple to apples on the non-exchange MLR improvement of 210 basis points sequentially, I think my understanding is that 4Q have less unfavorable development than 3Q, so maybe that explains some of the improvement. But I am curios what some of the other factors could have been in there I guess flu you spiked out and that was something that you had to overcome, but is there some - some approach that you could provide to 3Q to 4Q MLR.
Joseph Zubretsky: So I am going to turn it to Joe since he was obviously heavily involved in those quarters.
Joseph White: Sure, I think as you take a look at quarter-to-quarter fluctuations you obviously have to be careful in this business about what you read into them. But I think it is a pure statement to say that excluding marketplace where we made some out of period adjustments in Q4, I think your statement Dave, that there was less unfavorable development in Q4 than Q3 is correct and just reflects the general trend we have been making to improving the quality and the sustainability of our reserves. I think there is also there were some pleasant surprises in patient utilization in a couple of parts of the business and particularly on the Medicare side. I also think in some cases in some of our plans that hadn't performed as well overtime or recently as we would have liked we are seeing the benefit of new management teams settling in. New Mexico showed some improvement in the second half for the year. Puerto Rico while it had - continues to have some one-off issues related to provider sharing accruals and things like that they continue I think the positive trend. So I think overall it just reflect a general stabilization of the business, the benefits of certain cost take outs we took last year, and the - just essentially getting a lot of the heavy lifting around the increasing of reserves behind this.
Unidentified Analyst: Thanks.
Operator: The next question will be from Josh Raskin of Nephron Research. Please go ahead.
Joshua Raskin: Hi, thanks. Good morning, guys. Wanted to touch basically sort of on a longer term revenue perspective and not much organic change expected in the current year and we think about in Mexico I think you sized that $1.5 billion and in term could be your 2018 expectation I don't think I heard a Florida expectation maybe we just assume the 2017 numbers pretty similar. But I want to understand you talk a little about these changes there are a few process bringing in new hires, congrats to both of them as well. And hiring external but I am just curios what you think about revenue run rate once you kind of rebase the business take out let's call $2.5 billion for the lost contracts in 2019 add back them the HIF. So really just what do you think this business grows at when do you think you will sort of be back in the RFP wining game. And then I guess on the side question the marketplace is that a business you are still in, in 2019 and beyond?
Joseph Zubretsky: Sure, Josh, this is Joe. The revenue trajectory hasn't changed in my view and all I said was we are pushing the pause button on new business growth, while we repair and restore the margins to target. I am very hopeful that that's a 2018 exercise. Meanwhile during 2018, Pam, myself, and others will be rebuilding the new business procurement machine so that we can began to participate in 2019 pipeline. So, this is not a story without growth, we are just pushing the pause button on North Carolina and Kentucky and a few other opportunities until we can actually see the margin restored and start moving to target levels. So, I would - for the long-term I do not view the story as anything different from the growth story that any other Medicare and Medicaid company is portraying. With respect to marketplace, well early on there were all the strategic views of you needed to be in the marketplace if you were in Medicaid and vice-versa. And I think the market has learned that while there are similarities in network configuration and costs that these two businesses are quite independent on each other. And that you can't really warm transfer a member between the two markets, they go into the exchange, they go into exchange. So in my view the business has to produce a target margin and cash flows that fit with the portfolio stands on its own. Our marketplace business in Texas is incredible profitable. It was Florida that was the problem and in the five other markets it's not at its target, but it is still profitable. And so, we're going to final rates in April. We are going to see how our profitability emerges this year, make that final call in August and September when you need to, but we're pretty confident that with 59% rate increases, 4.6% pre-tax target margin that this could be and is a sustainable business for the enterprise.
Joshua Raskin: Okay. And then just on New Mexico Joe, you made the comment that you know the loss was on the cost proposal portion, certainly looking at that, I think the average you guys were 150 points off the average, I think 275 points of the winners. And so I conquer with that, but there were some areas in technical that were noticeably below average around care coordination and in post-systems and some of those. It didn't look to me, I think you guys would have been fifth-place just looking at the technical scores didn't look to me like Molina was really that well positioned as an existing plan, even if you through the whole cost proposal out. So you know I assume as part of this RFP revamping and revitalization plan, I assume there's more going into that, I was just curious if you could provide some color on how do you kind of fix that sort of stuff, is it capabilities or is it just the proposal responses weren't really perfectly written and I'm just curious what your thoughts are there?
Joseph Zubretsky: First Josh, as we gone back and reverse engineer the scoring, we have us actually closer to being a third than fifth or sixth as you suggested when you remove pricing, but we going to pay that back and forth all day along. The real issues the one you suggested, I don't think our proposals as we go back and look at Florida and New Mexico reflected the capabilities that we have. We have been in New Mexico a long time, we enjoyed a good relationship with the state. Our service to members and to providers has been very good and I don't think we reflected our capabilities in the proposal well enough. And then clearly, when you're participating in a rate auction and purposely did at the 75th or 80th percentile on the range just pure auction theory is you are not going to win. And during that period of time, there was a very unclear view of how New Mexico was performing, it was all types of backlog claims and prior period development and it wasn't performing well. And so the management team at the time bid higher in the range, hindsight maybe we would have or wouldn't, but clearly due to rates in that performance in our opinion. But we are revamping the entire proposal writing machine to better reflect the capabilities that we do have in these markets.
Joshua Raskin: Okay, that's perfect. Thanks, Joe.
Operator: The next question will be from Steve Tanner [ph] of Goldman Sachs. Please go ahead.
Unidentified Analyst: Thanks a lot, guys. Good morning. Just wanted to clarify some comments around target margin rates, the timeline and also tax reform as it relates to those items. So it sounds like Joe you don't expect to keep the tax benefits, but in 2018 they do represent you guys said $0.87 in the outlook. So for kind of pulling that out, it seems like the net margin goal for this year is closer to sort of 80 or 90 basis points and assuming that math is right, where should we think about the next sort of 70 to 110 bps of margin improvement coming from in 2019 and beyond and is the timeline for 1.5% to 2%, still kind of two to three years?
Joseph Zubretsky: Yes, and that's exactly the math and you've capture it appropriately, in terms of the tax impact on our guidance for 2018. In the first year of the turnaround, where we are trying to get to 1.5% to 2% after tax. All in having and after-tax margin of 1.2%, we should suggest it slightly below 1% when adjusted for sort of the tax benefit of the tax law change is a good starting point. As we said, as we look at the back half of the year, most of our businesses, at least are operating in a stable way, we have identified the underperformers. And the next margin enhancement benefit is again I hate to coming back to managed care 101, but our utilization controls are not consistent across the country in our health plans, our care management for high acuity members, our integration of behavioral and medical is very good in some places and lagging in others. Our networks contracts are - in certain places are price too high the networks are too wide. Some of our insulated contracts have unit costs that are far too high for the volumes for giving our venders. Our retained revenue, our risk adjustment scores are not keeping pace with the acuity of the population. We're getting too much back on the revenue withhold. So I keep coming back to all of the performance measures that one looks at throughout the managed care program and we can see outlook for meaningful improvement across all those measures. And that's where the arrival at a target margin will come from.
Unidentified Analyst: Understand. And just one follow-up for me, just on Illinois trying to think about that rate increase as well as the statewide expansion, I guess just most helpful maybe is just to understand what MCR is assumed in guidance and maybe would also be helpful to understand where the plan would have ended the year not for sort of the unusual items that that occurred over the course of last year? Thank you.
Joseph Zubretsky: Sure, with the rate increase we're giving and with the major corrective actions that we had to put emplace in Illinois, Illinois is in our guidance at just about breakeven for 2018.
Unidentified Analyst: Okay.
Joseph Zubretsky: And for 2017, it was - it lost money, was unprofitable for 2017.
Unidentified Analyst: Got it, okay. Thank you.
Operator: The next question will be from Kevin Fischbeck of Bank of America Merrill Lynch. Please go ahead.
Kevin Fischbeck: Great, thanks. I just wanted to ask about the top-line, you mentioned that losing New Mexico and Florida would be bad from an earnings power perspective, I guess, if we assume that those contracts were lost and then you kind of annualized the contract 51 at the end of this year and I guess maybe your view about exchanges. And what is the right kind of normalized run rate as we enter 2019 from a revenue perspective? I do you expect revenue to be down year-over-year if you loss those two states.
Joseph Zubretsky: Yes, I mean, if we lost the Medicaid business in New Mexico and let's say if we lost the - we kept Miami Dade in Florida of lost the other regions then yes, revenue would certainly be down in 2019. There is no way that the new launches that we've had were small, I mean, Mississippi is going to be 100,000 to 120,000 TANF members to start, there is probably an ABD contract on the backend of that. But yes, I don't think there is any question that if we are unsuccessful retaining the majority of those two contracts revenue would be down in 2019.
Kevin Fischbeck: Okay. And then you talked about DCP in the quarter, I guess, DCP is being up four days and two of those it sounds like just timing, but due to reserve strengthening, is that - is the reserve strengthening in your view because it's really just the under reserving heading into the period previously or is there in your view kind of extra cushion now because of all the moving pieces that have been going on, but you kind of view this as I don't want to say over reserve, but conservatively reserved?
Joseph Zubretsky: Yes, we are appropriately and conservatively reserved. Joe?
Joseph White: I think that's fair statement, given everything we've developed in 2017 from the 2016 reserve we thought it was appropriate to not only replenish reserves to previous levels, but to allow additional cushion for everything we've seen happen this year and the variability in our reserve development.
Kevin Fischbeck: Okay. And then last question, how do you think about leverage because, I guess, when you just look at it on a gross basis you are like 60% debt to cap obviously you have some cash on the balance sheet, how do you think about where you debt to cap is now when you kind of look at all the pieces there? And then what's the target and what's the reasonable timeframe to get that target?
Joseph Zubretsky: Bear in mind I'll kick it to Joe in a minute but bear in mind that we were after our note exchange we have moved down from about 57% I believe on measured on the GAAP basis. And the reason we popped over 60% isn't because of leverage, it's actually because of the reduction to equity due to the charges we took. So Joe do you want to expand on that.
Joseph White: Yes, I think the best way to express it is that we are viewing leverage really in the same line we are as our expectation for 2018. We'll be able to make better informed decision once we see the profit improvements driven by everything we've talked about today manifest themselves in our earnings. So, basically what we're going to do now is we're going to manage cash and leverage as appropriately as we can we going to bring much discipline to it and we're being more focused on the management. But as far as any major decisions going forward, we're going to foresee how much we can grow our way into a lower debt to cap ratio through retained earnings.
Kevin Fischbeck: But right now it looks like you guys think that if you hit your plan and execute you'll be able to grow into the balance sheet you want overtime there is no need to do anything if you're hitting your targets?
Joseph Zubretsky: Yes, it's all about earnings and the sustainability and the lack of volatility in earnings. Sustained earnings is actually as much the problem with our capital base as the capital is itself.
Kevin Fischbeck: Okay, great. Thank you.
Operator: The next question will be from Ana Gupte of Leerink. Please go ahead.
Ana Gupte: Yes, thanks. Good morning. On the Texas and the Washington contracts, can you give us a sense of what the states you're thinking about on these two in terms of seen a supplier consolidation. Is it a price bid or something else around member, provider and networks or quality? And how do you feel about the positioning of Molina? And what is also the timing of the submission and the awards?
Joseph Zubretsky: Let's take them - hi, Ana, it's Jose. Let's take them one at a time. Texas the response to the Texas ABD proposal is in flight and is due to be submitted in early March. And we are told that awards will be announced as late as October of 2018. We're in 6 of 13 regions in Texas right now. And it's a statewide proposal. So obviously our first focus is to retain what we have. But there is actually room to grow, and with our service profile deep provider relationships, skilled nursing facility networks and a really good service platform, it's possible that we can actually grow in this RFP. I will remind you that rates are not part of either one of these proposals. It's all capability and service profile rates to be negotiated later. So that that phenomenon where a new player can come in and try to sort of invest in the state that doesn't exists in either one of these. In Washington with 55% market share, a great platform of integrating behavioral and medical, a track record of having won two of the nine regions already, two of the nine regions in Washington actually went into procurement in the past two years and we won them. And we actually grew our membership after we re-procured. We have 50% of our cost base in Washington running to value based contracts, which we believe is best in market. So we're feeling pretty good about both of these both from a market share perspective, the ability to grow and our service profile and track record in either state. The Washington RFP hasn't arrived yet; it's supposed to arrive in the next couple of weeks. And I'm struggling to remember the actual submission date, but we can get to back you on that.
Ana Gupte: Thanks, Joe. Just one follow-up more broadly on the states and the discussions you're having around rates and what you might expect this fall. Is the environment likely to be supported despite tax reform and might this become a tailwind to your margin expansion goals for 2019 or are you hearing anything around claw backs and does that differ by red or blue states or specific states.
Joseph Zubretsky: No, we haven't heard - first of all on 2018, we haven't - there is no discussion about claw backs. The rates on 80% of our revenue are locked in. And due to various renewal dates throughout the year 20% or not. But 80% - rates on 80% of our revenue are locked in. So 2018 we think is the avoid of any renegotiation. And look, all the rating factors with the states argue about various medical cost trends sort of back to our rate increases by including benefits and service profile, these are all types of way to structurally negotiating rates. And I'm just guarded that I'm not yet ready to declare of that the after tax margins in the Medicaid business are now going to be higher than everybody projected because of the new tax regime. But there has been no discussion specifically about taxes vis-à-vis the rates that we're negotiating, which I think is a good sign.
Ana Gupte: Got it. Thanks, Joe. Helpful, color.
Operator: The next question will be from Lee Pressman of Morgan Stanley. Please go ahead.
Zachary Sopcak: Hey, sorry, this is Zack Sopcak from Morgan Stanley. Quick question Joe, as you think about the overall Medicaid opportunity now versus back when you were doing a due diligence stepping into the November, is there anything from a regulatory standpoint that's surprising you, work requirements, states that may or may not be expanding or anything else?
Joseph Zubretsky: No, not really. When you are in this business you have to make sure you can tolerate through the necessitude of legislative and regulatory affairs and keeping track of all that is quite challenging as you know. But no, as we look at the regulatory environment, as we look at very legislative proposals, Medicaid is here to stay there is contemplation of perhaps certain states sort of merging the expansion market with the marketplace market, that's possible. There still a round flow of support for having the higher acuity populations ABD and long-term services and support in a managed environment. And I think the industry has done a great job demonstrating that these managed care savings by having those high acuity populations in managed care versus fee for services. So no, I don't think there is anything legislatively or regulatory that causes me to think differently above the attractive growth aspects of this business.
Zachary Sopcak: All right, thanks for the questions.
Operator: And the final question this morning will be from Gary Taylor of JPMorgan. Please go ahead.
Gary Taylor: Hi, good morning. Just a couple of questions, one for 2018 marketplace of that $1.5 billion of premium you're talking about, how much of that would in Florida, ballpark?
Joseph Zubretsky: Of the 450,000 members, I believe Florida is projected to have around 50,000, down from over 200,000 in 2017. So I would tell you that it's probably between $300 million and $350 million.
Gary Taylor: Okay. And then my other question is, I guess, I'm in the camp of one of those having little trouble on the share account I think I understand the convert dilution pretty well, but maybe I'm just missing, where you ended the quarter. So 57.1 million average diluted shares for the quarter, could you give us end of quarter basic and diluted kind of as the jumping off point?
Joseph Zubretsky: I'll take it to, Joe.
Joseph White: Sure, it's right around - end of quarter it's right around 60 million.
Gary Taylor: Okay.
Joseph White: I think what you are missing there is the impact of the exchange of equity we did for our some of our convertible notes and in middle of December, which involve issuing about 2.6 million shares.
Gary Taylor: Okay, thank you.
Operator: And ladies and gentlemen this will conclude our question-and-answer session. And it will also conclude our conference call for today. We thank you for attending today's presentation. At this you may disconnect your lines.